Operator: Welcome and thank you for joining Rayonier Advanced Materials Fourth Quarter 2014 Teleconference Call. At this time, all participants are in listen-only mode. [Operator Instructions]. Today's call is being recorded. If you have any objections, please disconnect at this time. Now, I will turn the call over to Beth Johnson, Vice President of Investor Relations and Planning. Thank you. You may begin.
Beth Johnson: Thank you and good morning. This is Beth Johnson, Vice President of Investor Relations and Planning. Welcome to Rayonier Advanced Materials’ 2014 fourth quarter earnings call and webcast. Joining me on today's call are Paul Boynton, our Chairman, President and Chief Executive Officer; and Frank Ruperto, our Chief Financial Officer. Our Earnings Release and presentation materials were listed this morning and are available on our website at rayonieram.com. I would like to remind you that in today's presentation we will include forward-looking statements made pursuant to the safe harbor provisions of federal securities laws. Our earnings release as well as our filings with the SEC list some of the factors which may cause actual results to differ materially from the forward-looking statements we may make. They are also referenced on Slide 2 of our presentation material. At this time, I would like to turn the call over to Paul for his opening remarks. Paul.
Paul G. Boynton: Hi, thanks Beth. Good morning everyone. Yes, let me start the call with a few brief comments regarding 2014 before turning it over to Frank to review our financial results. 2014 was a challenging year. The cellulose specialty markets were oversupplied, commodity viscose prices were very low, and input costs were higher than we originally expected. Despite these headwinds, our cellulose specialty sales volume was consistent with the prior year, and we increased our share of customer requirements. As a result, our 2014 pro forma EBITDA was $267 million, in line with the guidance we provided in July. While we're not satisfied with the financial results, we're proud of what we achieved, given the circumstances. We will continue to be vigilant in effecting change throughout our organization to position ourselves to be the clear winner in our industry and drive long-term shareholder value. With that, let me now turn it over to Frank to walk through our specifics of the results as well as provide an outlook for 2015. Frank.
Frank A. Ruperto: Thank you, Paul. Let me start by reminding you that all periods prior to Q3 2014 are reflective of carve-out accounting treatment. As such, the overall results may not be indicative of the standalone company. However, sales and production costs are comparable between periods. With this backdrop, let's look at Slide 3 to review our financial highlights. For the quarter ended December 31, 2014, we reported fourth quarter pro forma earnings of $26 million or $0.61 per share. The pro forma adjustments exclude one-time separation and legal costs as well as environmental charges. As described in this morning's press release, we incurred a pretax charge of $76 million related to an adjusted of our environmental reserves and related property values, which translates into an after-tax charge of $49 million or $1.17 per share. In the fourth quarter of 2014, the Company's environmental reserves for the assessment, remediation and long-term monitoring and maintenance of our disposed operations were increased by $69 million, and the related property values were reduced by $7 million. This reflects an increase to the Company's estimates of required spending over the next 20 years for these sites. Nearly 80 percent of the increase is related to four sites for which, in the fourth quarter, remediation plans were legally required or whose previous plans changed meaningfully due to commercial and/or legal reasons. The remaining change to the reserve was spread over an additional 13 sites based upon the Company's update of estimated costs for ongoing remediation, monitoring and maintenance over the next 20 years on an undiscounted basis. To put this in perspective, the changes represented an average increase in costs of approximately $50,000 per site per year. By example, as shown on Slide 18, the site of our former pulp mill in Port Angeles, Washington required the largest adjustment, accounting for $33 million, or 48 percent, of the increase in the reserves. In February of 2015, we are required to submit a feasibility study for remediation of this site, the only such study of its kind required to be submitted since we closed the facility closed in 1996. In preparing for submission of this study, we determined that our previous preferred industrial reuse strategy was no longer viable and therefore, our remediation plan had to be revised and expanded, meaningfully increasing the estimated costs for the project. We believe that our reserves represent the best estimate at this time of the costs required to clean up the identified sites. Although the adjustment to the reserves is significant, the associated spend will be spread over 20 years. These changes are not anticipated to have a material impact on the Company’s cash flows in 2015. Returning to Slide 3, for the fourth quarter of 2014 sales total of $248 million 2% below third quarter 2014 and 12%, a lot lower than fourth quarter 2013. Full year sales were $958 million or 9% lower than the prior year. Pro forma operating income was $47 million for the fourth quarter 2014 compared to $46 million in the prior quarter and $73 million in the fourth quarter of 2013. Full year pro forma operating income was $181 million in 2014 and $295 million in 2013. Our variance analyses for operating income are provided on Slides 4 through 6 of the financial presentation materials. As you can see on Slide 4, the sequential quarter results were comparable as favorable costs mainly due to wood, chemical and energy were offset by an unfavorable sales mix. As shown on Slide 5, the $26 million decline in year-over-year quarter results was largely driven by lower CS sales prices and unfavorable sales mix. Fourth quarter 2014 benefited primarily from lower wood and chemical costs. Finally, on Slide 6, for full-year 2014, operating income declined by $114 million from 2013, primarily due to lower cellulose specialty prices, higher cost experienced through the first three quarters, and slightly lower cellulose specialty volumes. CS volumes were down 7000 tons due to the timing of customer receipt of shipments. As shown on Slide 7, in 2014, we generated $267 million of pro forma EBITDA, in line with our previous stated guidance. Since the separation, we generated $61 million of pro forma adjusted free cash flow and reduced net debt by $50 million. We ended the year with $288 million of liquidity, including $222 million available under our revolving credit facility after taking into account outstanding letters of credit. Looking ahead to 2015 on Slide 8, we currently expect to face continuing headwinds. Consequently, we anticipate CS volumes to remain comparable to 2014, 2013 levels, pricing to be down approximately 7% to 8% from 2014, and commodity sales volumes to be higher due to more production days and improved operating efficiencies. This results in estimated 2015 EBITDA of $200 million to $220 million. As depicted by the chart on Slide 9, the impact of the lower prices equates to approximately $70 million decline in EBITDA. To address this lower EBITDA and neutralize the typical cost increases we face each year of approximately 3% to 4%, we have implemented an enterprise-wide cost reduction initiative designed to deliver $40 million in annual savings. These opportunities are across the organization with $35 million in operations reductions and $5 million in corporate savings. This $40 million represents 6% of the Company's overall cost before depreciation. Each member of our management team has been specifically charged with achieving these cost initiative goals. In addition, lower than historical cost inflation could provide upside to our guidance. For instance, if oil and natural gas prices were to stay at current levels, we could realize an additional $5 million of incremental profits even though we are largely energy self-sufficient. In addition to cost savings, one of our top priorities in 2015 is to maximize our cash flows by being prudent with where we invest our cash. As a result, capital expenditures including the boiler MACT requirement are expected to range from $75 million to $80 million. $20 million lower than our prior outlook. We remain focused on driving evidence driving efficiencies throughout all levels of our organization including working capital in which we are targeting $15 million of improvements. Finally, we have a very sound and attractive capital structure. As shown on slide 10, we continue to reassess our capital allocation strategies for 2015. We will aggressively look to reduce our debt to preserve financial flexibility. We will continue to utilize our cash to invest in the business through smart and early return capital projects. And we will continue to fund a modest return of capital through our quarterly dividend. At this point, let me turn the call back over to Paul.
Paul G. Boynton: Thanks, Frank. As you've seen from our guidance there remains continued pressure on pricing of our products and our ability to grow cellulose specialty volumes. A recent update from industry analysts shows slower growth of both cellulose specialities and broader commodity viscose markets. Over the last six months estimated 2015 growth rates in viscose markets have been cut substantially from 8.7% to 3.9%. This dynamic drives our competitors who also produce viscose pulp to be more interested in the cellulose specialty market essentially creating supply. Cellulose specialities, we believe there's modest growth in filtration, pacings and tire cord and mixed demand in ethers with some ether sub segments fairly robust and others like and micro crystalline cellulose temporarily soft. Acetate as we mentioned on the last call will resume growth on an underlying consumer debt demand we believe of zero to 1% that it is likely to be overwhelmed by inventory destocking of both acetate pulp and tow in 2015. Combining customer feedback, we believe that required destocking adjustment in 2015 could total 30,000 to 50,000 tons. As such, rather than seeing industry forecasted growth of approximately 45,000 tons or 2.9%, we believe cellulose specialities purchases in 2015 have the potential to contract compared to 2014 before resuming real demand growth in subsequent years. These dynamics coupled with currency movements, have driven aggressive pricing tactics by our competitors and negatively impacted our 2015 pricing. Although we have volume based contracts, we can’t dictate pricing and expect to remain strong partners with our customers. Hence as noted, we expect pricing on average to be down 7% to 8% from 2014. Now, despite this, I am pleased to report that Rayonier Advanced Materials in 2015 will be able to maintain or increase our share of volume at each of our top 10 customers. These customers represent more than 75% of our revenues. Additionally, we’re excited that we are able to convert several customer trial efforts in 2014 into ongoing business in 2015 in both ethers and high strength viscose segments. This is testament to the strength of our business, the quality of our distinctive products and services, and our strong customer relationships. Now, on Slide 11, we lay out the specific actions we are taking to position ourselves for continued industry-leading performance in the near and long term. First, we're taking decisive action around cost reduction and continuous improvement initiatives. These not only include what we've identified in the current $40 million of cost savings, but also in changing the way we approach the business. As such, we are acutely focused on recovering each year at a minimum the 3% to 4% normal cost inflation that we have historically experienced in our business. Our goal is to hold costs flat. Second, we will evaluate our asset optimization. We are undergoing a thorough review of our manufacturing strategy to ensure it continues to maximize our profitability given today's circumstances. Additionally, we are evaluating our significant co-product opportunities, including tall oils, lignosulfonates and sugar streams. That are currently utilized by us as a source of energy in our recovery boilers. As the cost of energy has declined in recent years, it allows us to look at optimizing our co-products for higher value. And finally, we will protect and grow our leadership position by driving increased value to our customers, growing business in underserved markets and developing new value-added products. We are reinvigorating our product innovation process with the goal of identifying and commercializing new and modified products and technologies in the cellulose fiber and related fields. Our goal is to have 20% of our revenues derived from new products within a decade. In summary, we're not going to sit back and wait for the market to recover, but we will do everything in our power to impact our business in a positive way. We have set forth aggressive initiatives and put in place a management team with the energy, expertise and urgency required to achieve the necessary results. Difficult periods are not a new phenomenon in the cellulose specialty markets. While demand growth has been relatively steady for decades, the supply side of the equation can become unbalanced. All of our cellulose specialty competitors have some, and many a significant level of, dependence on the more cyclical viscose pulp market. As that commodity market peaks or troughs as it is now, it will impact the supply available for higher-end cellulose specialty market. Although these competitors do not offer customers the same value equation that we do, their price-based competition does have an effect on the market and our customers. Right now, this dynamic is negatively impacting the market price for cellulose specialities. I joined the Company in the late 90s. And shortly thereafter, we faced similar conditions. At that time, we took the initiatives that were necessary to compete effectively and position ourselves for the long-term. What we witnessed was participants with higher costs and low differentiation were no longer able to be effectively compete. In addition, demand continued to grow and assisted with bringing the market back into balance. Although Rayonier's performance was under pressure at the time, it quickly became one of the most attractive businesses in the market with 30% plus percent margins and extremely high returns on invested capital. Today, we faced similar circumstances, and we are proactively taking the actions necessary to successfully face the near-term challenges, and we are confident that in the long term, we will not only be the market leader, but the clear winner in the cellulose specialities arena. Now, before I open up the call for questions, let me take a moment to answer a question that many of you have already asked concerning the third quarter restatement and related issues at our former parent company, Rayonier. Rayonier's comments have been interpreted by some to call into question the integrity of management and the sustainability of forestry practices over the past decade. There are many different approaches to timber management. While changing strategy is certainly a prerogative of a new leadership team, the business at Rayonier during the past 15 years and the three CEOs was performed with great integrity and a long-term perspective. And further, be assured that the integrity and accountability will also be core values at Rayonier Advanced Materials. Now I will ask the operator to open the lines for your questions.
Operator: [Operator Instructions] First question from Mike Roxland, Bank of America Merrill Lynch. Your line is open.
Michael Roxland: Hi, good morning, thanks for taking my questions. Paul, wonder if you could help us reconcile your volume outlook. Seems like volumes cellulose specialty volumes were flat in 2015. If some of your customers have indicated that they intend to reduce their top purchases certainly in the first half of 2015. So wonder how you reconcile volumes being flat with weakness in some of your customers are indicating.
Paul G. Boynton: Yes, Mike, again, you're comments are little broken up there. But I think you're asking to reconcile our volumes based on some comments that customers have taken about reducing their purchases in at least the first half of 2015. Mike, all I can say is obviously that we've worked hard, the team has worked hard to protect our volume levels. We've obviously reduced pricing accordingly. But again, we feel confident in the CS volume being out there and basically as I noted before, that we've actually increased our share of volume at each of our top 10 customers. So again, hopefully that helps you reconcile again 2014 to 2015.
Michael Roxland: Should we expect from a volume long-term point to see a low, weaker first half 2015 and then maybe some volume improvement in the back half?
Paul G. Boynton: Yes, we haven’t given and probably won’t give any guidance quarterly, quarter by quarter, but we've given our full-year guidance. Typically, we start off the year a little bit lower volumes, and we build towards the back half of the year. And largely that's due to some of our shutdown timing of both our facilities. Usually take one shut down in the first quarter at one facility and another in the second quarter.
Michael Roxland: Got it. Thank you, Paul. And how should we think about cellulose specialty's pricing going forward. Obviously you highlighted the increasing competitiveness of some of your peers. Would it be fair to say that the challenging pricing environment that we're currently it could extend for some time, so you could see if you’ve done minus 7% to minus 8% in 2015, that's off a similar amount last year, could we see minus 5%, minus 6, minus 7 in 2016 and 2017?
Paul G. Boynton: Yes, Mike, way early to talk about pricing beyond 2015, again we are taking the actions necessary given kind of a little bit of cloudiness that we have in the market to focus on our costs, to look at our asset optimization, and really to protect and grow our business.
Michael Roxland: Got it. And then just two quick additional questions. You obviously mentioned Paul, you're performing a thorough review of your manufacturing strategy. Did that include potential down time? What does the Company need to see in order to change its strategy around volume and begin taking the necessary down time, hopefully to get the market back in balance?
Paul G. Boynton: Yes, the message is that we're looking to maximize our financial returns across our assets, Mike. So we've got this new CSE up and running and qualified in 2014, which means we now have four lines that can produce cellulose specialty. So we've got incredible flexibility in how we manufacture. And given the current product mix of cellulose specialities and commodities, we're going to assess what combination of products and assets give us the greatest return.
Michael Roxland: Got you and then finally a housekeeping question. Can you provide us with the volume and pricing for absorbent materials and commodity viscose separately? Why were they combined this quarter when for the last couple of quarters they've been provided separately?
Frank A. Ruperto: The breakout between commodity viscose and absorbent materials?
Michael Roxland: Yes.
Frank A. Ruperto: Yes, we run the business on the bases of those two are pretty flexible between the two from our perspective and the returns are relatively similar, given the current pricing environment and so we will flex one way or the other. So to us it’s really just a question of which market is better and where we flex to each to market. So that’s the way we're going to run the business going forward and we think that makes a lot of sense to really maximize that profitability and be able to swing easily back and forth between the two.
Michael Roxland: Got you. Did something change within the last quarter? Because you did provide separate volume and pricing for those two product lines for the last two quarters at a minimum. Did something fundamentally shift that has caused you now to combine everything into one line?
Frank A. Ruperto: Nothing has fundamentally shifted at all to combine those two into one line, I think historically you have seen much more higher commodity viscose prices but based on the outlook it looks like these are both commodity products that we’re just going to run back and forth between the two.
Michael Roxland: Okay. Thank you I’ll turn it over.
Paul G. Boynton: Thanks Mike.
Operator: Next question is from Roger Spitz, Bank of America. Your line is open.
Roger Spitz: Hi. Thanks, good morning. I just wanted -- I was going to ask if you're losing share at some of your key cigarette filter tow customers. Did I hear you say that recently you've increased share with each of your top 10 customers?
Paul G. Boynton: Yes, Roger exactly, we said that each of our – we are going to increase – maintain or increase share at each of our top 10 customers in 2015 relative to 2014.
Roger Spitz: Okay. Has there been any change in any contracts or someone like Sateri coming in and growing share maybe on someone else's hide with any of your top cigarette filter tow customers.
Paul G. Boynton: Yes, I mean I think that’s a question for our competitors. Again, as we stated our share is actually growing at each of our top customers. So I can’t speak to what their share is doing at any particular competitor.
Roger Spitz: Understood. Do you have a 2015 CapEx and cash tax guidance you can tell us?
Frank A. Ruperto: Yes, the CapEx for 2015 is $75 to $80 million and that includes the boiler MACT. I think our previous outlook was $75 million to $85 million plus the boiler MACT. We've reduced the capital expenditure amount by roughly $20 million in 2015 versus we had said before. And then the tax rate is – the overall tax rate is 33% to 34%.
Roger Spitz: Thanks very much.
Paul G. Boynton: Thanks Roger.
Operator: Next question Chip Dillon, Vertical Research Partners. Your line is open.
Chip A. Dillon: Yes, good morning.
Paul G. Boynton: Good morning Chip.
Chip A. Dillon: When I Yes, good morning. When I look at the total volume, you've told us that we probably should expect something flat in specialities. Would we -- even though you're not breaking down right now the mix between viscose and fluff, roughly that number's been around 150 combined. Is that a fair number to think about for 2015?
Paul G. Boynton: We will be making more commodity products in 201. If you look at our overall capacity, its about 675,000 tons which would indicate the ability to run, roughly an incremental 50,000 tons off of last year. We are going to look at how we optimize that and whether not that make sense throughout the year and whether we run more or less. But its going to be higher than last year the commodity volumes.
Chip A. Dillon: Okay. And I'm sorry, did you say what the effective tax rate would be for 2015?
Frank A. Ruperto: 33% to 34%.
Chip A. Dillon: Okay. Sorry. And then when we look at the reserve additions for the environmental liabilities, you did mention that's a 20 year process. And I see that in the -- if I'm not mistaken, in the fourth quarter you spent about $3.5 million which, would infer about a $15 million-ish per year run rate. Is that fair? Is that the way we should look at it? I know it will be lumpy, but will it be front end loaded? Back end loaded? How should we think about that?
Frank A. Ruperto: Yes, I think it’s lumpy. So that’s a fair way to say it and a lot of the new reserves were added now and those just take time to get through the government approval agencies and the other things. So our goal is to meet all of our obligations but obviously spend cash when it's necessary. I would tell you in the near-term, the number is more like $10 million this year and it’s going to be lumpy throughout the 20-year period on when the big chunks of real remediation part come due. The monitoring, the maintenance tends to be relatively consistent over time.
Chip A. Dillon: Okay. And then I guess the last question is you mentioned the $75 million to $80 million in CapEx this year with boiler MACT. What do you think that should be or how should we think about like 2016, 2017, 2018? Obviously things can change, but directionally would that start to come down in 2016 and sort of what would kind of a run rate be for you, once you take out boiler MACT?
Frank A. Ruperto: Yes, we think it would be relatively consistent, taking out boiler MACT. I mean we're going to have a real focus on the critical CapEx needs of the business and the high return projects. So we're going to be effectively managing that with a very sharp eye as we move forward here.
Chip A. Dillon: But does that mean - how much of that $75 million to $80 million is boiler MACT that would eventually go away?
Frank A. Ruperto: We said $15 million to $20 million and we’ll probably have some of that, we will have a big chunk of that next year as well.
Chip A. Dillon: Okay. So really starts to trail off in - $15 million to $20 million total for the two years, so therefore may go down like $8 million to $10 million in 2017?
Frank A. Ruperto: No, no it’s 15 to 20 this year and its something of that order of magnitude maybe a little less than in 2016.
Chip A. Dillon: And then it drops off.?
Frank A. Ruperto: And then it pretty much goes away.
Chip A. Dillon: Okay, very helpful. Thanks.
Frank A. Ruperto: Thanks, Chip.
Operator: Next question Steve Chercover, D.A. Davidson. Your line is open.
Steven Chercover: Thanks. I apologize, I got on really late. But how fast will you get the $40 million in cost cutting initiatives you mentioned for this year?
Frank A. Ruperto: We're going to work as hard as we can, Steve, to get as much of that as we possibly can. So our management is really focused on trying to achieve the top end of that range quickly, but these things – some of these cost saving initiatives are complicated, deal with efficiencies and other mill operations, so it's hard to put an exact timing on it. But our goal is to try to get it all.
Steven Chercover: So we could almost see that as a run rate into 2016?
Frank A. Ruperto: We would hope so, yes.
Steven Chercover: Okay. And with low energy prices, I'm just wondering, are there any petroleum based alternatives that emerge, that compete against specialty cellulose? I will give you an example, and I know that you guys aren't focused on commodity viscose. But polyester, would it gain share versus rayon, low oil?
Paul G. Boynton: Yes, Steve, this is Paul, good morning. I think the one area, we take a look at petroleum versus cellulose, certainly when I think about tire cord, as that equation changes and polyester is a competing technology to high strength viscose cord that could be one area that would put pressure on our customers. But I don't see that happening in the near-term, I think they have to be sustained in lower prices there and over the long-term and you may see our customers may see some pressure in that area.
Steven Chercover: Okay, and with these low energy prices, what do you think the upside might be if you were to start to sell tall oil and some of the other things that you're currently burning or is it premature to put a number on that?
Paul G. Boynton: Yes, I hate to put a number on it at this time. Again we talked about, we got some significant streams here, but we've got to capture that value before we start talking about it.
Steven Chercover: And again I came on late, but to the extent that you have free cash flow this year, what are the priorities, debt reduction, share repurchase in that order or can you help us?
Paul G. Boynton: Our priorities are debt reduction, making sure we're spending the necessary capital in our facilities and maintaining our return of capital via our dividend.
Steven Chercover: And maybe this is a personal question, but seemed to I guess set a floor for your former parent. Any intentions you personally buy shares in addition to what you might get as compensation?
Paul G. Boynton: Yes, well, Steve, let me answer it this way. I’ve got that six times salary, Rayonier Advanced Materials CEOs stock ownership is one of the highest requirements of stock ownership of U.S. publicly traded companies. And therefore, my interests are very aligned with our stockholders. My current ownership is significant and I think you are aware that I've never sold a share in 15 years of my time as executive of the Company. And also keep in mind that vast majority, 80% of my comp is performance based and two-thirds of my comp is performance based, based on Rayonier Advanced Materials shares. So I think we’re very well aligned. We will always look. I know personally at opportunities here and that's all I can say at this point in time.
Steven Chercover: Very good, and thank you.
Operator: Next question Dan Rohr with Morningstar. Your line is open.
Daniel Rohr: Hi, thanks for taking my question. Happy to see all the proactive steps on costs. One of your customers indicated flat Chinese tow demand for 2015, really extending the weakness we saw in 2014. How much if t all do you think the destocking is playing into the Chinese demand growth, apparent demand growth I should say for this year and what would you expect Chinese tow demand growth to average in the years beyond 2015?
Paul G. Boynton: Yes, I think we’ve talked about before and I think we recognized and I think consistent with some of the comments you've heard, Dan, that it's relatively flat in 2014. We think the same in 2015, but we think 1% to 2% and 1% or so in Chinese demand growth is an appropriate level, based on what we are hearing. With regard to the destocking, we think, again, it's in the range of 30,000 to 50,000 tons impact in 2015, and most of this is likely to be driven out of China.
Daniel Rohr: So that 1% demand growth you're referencing for China, that's your medium term outlook now? Or did that refer to the 2015?
Paul G. Boynton: Yes, so we said overall we think that acetate, consumer demand is at a 0% to 1% level on kind of an ongoing basis. And then with that China would be a little bit higher and the rest of the world would be likely lower and negative.
Daniel Rohr: Great and then how much more expensive is it for you to produce CS than commodity grade? I think back in 2013, there had been some figures provided that allowed us to back into the differential. Is there any update you can provide?
Paul G. Boynton: Yes, you know we haven’t given that number out, we’ve always said and you can do the calculation based on what commodity is versus where the CS price is, obviously there is a pretty good premium between the two in terms of what we get in terms of revenue per ton and we said there is not same increment in terms of cost, but we haven’t given any more guidance on that Dan.
Daniel Rohr: Okay. Thank you very much. And then just if I may, in the past you've talked about acquisitions, seems fair to say that that's off the table for now. But would you entertain a prospective acquirer of your shares?
Frank A. Ruperto: We won’t comment on speculation or other things of that type, I would tell you that the board operates the company in the best interest in long-term of the shareholders.
Daniel Rohr: Okay. Thank you very much.
Paul G. Boynton: Thank you.
Operator: Next question, Paul Quinn, RBC capital Markets. Your line is open.
Paul C. Quinn: Thanks very much. I apologize because I too was late getting into the call. You might have mentioned some of this stuff. I will ask these questions anyways. Just on the maintenance of volume commitment for -- volume expectation for 2015, maybe you could give us a little bit more color on how your contract volume commitments work. Are they offered tonnage, or have you got commitments on a quarterly basis, a monthly basis, and what's the plus, minus on that?
Paul G. Boynton: Yes, hey good morning Paul. Yes we have contract, volume commitments in our contracts, they are annual commitments, so they are not quarterly. There typically is a range to those contracts plus or minus they vary depending on the customers, so I cant comment on that in a distinct way, but they do vary, but there is a range. Needless to say given the comments we’ve made about destocking I think everybody has got at the low end of their range. So hopefully that gives you a little more color to that. Again, we think our volumes should be comparable this year as compared to last couple of years on the CS side and therefore if the market is actually contracting, we are actually increasing our volumes share in each of our top 10 customers - maintaining or increasing our volume share with each of our top 10 customers.
Paul C. Quinn: Again that’s a great indicator. Just on the range itself is it a 5% range or is it like a 15% range?
Frank A. Ruperto: Yes, we don’t comment on that some of them are very tight, some of its not, some of it’s the number and in some cases it's a small range. So again, what we try to do is put ranges out there that help us predict and give us some stability in our future and also gives stability in our customers' purchasing. So again, each customer varies a bit, so…
Paul C. Quinn: Okay, so back to your earlier comments I guess on building volumes given the shutdowns in the first half of the year, we shouldn't be too concerned if the first half volume is lower than the flattish overall guidance for 2015?
Paul G. Boynton: Hi, right and if we obviously if the changes – our guidance changes anywhere we will lets you know, but our guidance for the year is what it is and Paul, you've watched our business for a while and you’ve seen the first couple of quarters always start out below what we see as the average for the year. So I think you should anticipate that.
Paul C. Quinn: Yes. Just trying to get some color around that variability. Just on broadening your market into other segments. You mentioned ethers. I think the number that sits in my head in 2013, you did about 6%. I don't know what that percent was in 2014. Maybe can you give us an indication of that and then what you expect in 2015?
Paul G. Boynton: Yes, we haven’t updated that, I can just say overall our mix is still somewhat fairly similar to what it has been I guess last reported out there in 2013. Obviously, it's picking up a bit in ethers and the high strength viscose market areas. But overall, I don’t think you're going to see that – those percentages vary wildly.
Paul C. Quinn: Okay. And then did you give any detail on the $40 million cost savings in terms of buckets? And it sounds like you're going to take a look at all four lines. And is it potentially possible that your new C line would be a lower cost line than the other two lines at Jessup?.
Frank A. Ruperto: Just on the cost savings 35% of the cost is what – what we call in the operations basket. So that includes all initiatives at the mill and all initiatives that support the mill including procurement transportation all of those. And it spread pretty broadly across that group and a host of specific initiatives and actions that we're taking. And then there is roughly a $5 million savings at the corporate level again spread overall with the functions at the corporate level.
Paul C. Quinn: Okay. Sorry, go ahead, Paul.
Paul G. Boynton: Paul and then you asked about the new line is fully capable producing the highest quality of products we have and so it really gives us a lot of versatility. So that’s a key part of the flexibility that we are going to look at our asset optimization to say hey is there a more optimal way to run the business, given the fact that line is not producing at this point the full cellulose specialities. And we're going to look at that and we don't have the answer to that yet. And if it changes obviously we will tell you.
Paul C. Quinn: I'm just curious on the new line because you did spend $375 million. It's not unheard of in - I'm sure you've gotten new capital at work and new systems. Again, the flip side is you haven't run it full-on on specialities. So I guess that's something you will look at. Last question I had is SG&A has really bumped in Q4, up to $13.2 million. So I can understand the $5 million cost savings on the corporate side. What was that bump-up as a result of?
Frank A. Ruperto: Paul, I don't have that in front of me. So we will have to get back to you on that.
Paul C. Quinn: Okay.
Paul G. Boynton: Just a second here, Paul. Let's see if we can pull a couple of quick numbers otherwise we will get back to you. Some of those I think they’re…
Paul C. Quinn: It's a weird one. It's up like 40% quarter-over-quarter and almost 50% year-over-year. We're not talking huge dollars, but on a percentage basis, it's up a lot. I thought there was something else wiggy in it.
Frank A. Ruperto: One chunk of it, Paul, is related to some severance and payouts under some management that have left the Company. That's a big chunk of the increase.
Paul C. Quinn: Okay. That explains it. Best of luck, guys. Thanks.
Frank A. Ruperto: All right, thanks, Paul.
Operator: Next question from Mike Roxland, Bank of America Merrill Lynch. Your line is open.
Michael Roxland: Hi, thanks for taking the follow-up question. Paul, I just wonder if you could quickly talk about pricing and how the pricing dynamics work in the particular contracts. Really what I'm getting at, do your contracts typically contain ceilings or floors that dictate how much prices can move in any particular year? Such that if you didn't have a particular floor in for 2015 or 2014, we would have seen a bigger price decline in the 7% to 8%.
Paul G. Boynton: Yes, Mike, there's not one single answer to that. Every customer is different. We've got different things with different customers. Overall, and consistent with what we said before, we said look, our pricing, it's an annual discussion on price. It's based on supply and demand in the market. We've talked a lot about what that's all about this year as well as we talked about that last year. It's about where our costs are at, it’s about where our customers' costs are at. And it's about global currencies, and so all that in, we come up with working with our customers a price that we think that works for them and for us. So there's not a set pattern, formula, pricing, floor, whatever, for anybody. It's all different for each of the customers. But it really - the basis for it is around those four factors.
Michael Roxland: Got you. There's really no wave similar to the volumes where - I know around those four factors you may have discussions, but if things work out not in your favor per se, given the current environment for instance where there's a lot of excess supply, there's not something that stipulated we can't lower prices beyond a certain amount.?
Frank A. Ruperto: Yes, again I can’t speak to any particular customer contract or anything like that. Obviously we would say that pricing didn’t work out in our favor this year or last year for sure right, so but that’s reflective we think of where the market's at right now and we think obviously long-term this is going to be a good business and with good margins we just got a little tough spot to get through and we’ve done this before and we’ll do it do it in the future.
Michael Roxland: Got it. Thanks, good luck for the balance of the year.
Frank A. Ruperto: Okay, thanks Mike.
Operator: [Operator Instructions] Dan Rohr of Morningstar, your line is open.
Daniel Rohr: Thanks for allowing me to hop back on. I understand you don't want to talk about what your competitors might be doing on price, but in a general sense, do you all think you're maintaining your value premium?
Paul G. Boynton: Yes, I think I would say I don’t know if it’s maintaining our value premium, but I certainly I think consistent with almost every cost customer we have, they recognize that our product offers a value in use component to it. And we see that out there. We don't know where our competitors are priced at so I can't say specifically if we're maintaining or not maintaining it. But I do believe that we get an advantage in the total value that we bring and that's what we've always brought to the equation is how our products runs, the quality we provide to our customers, their ability to sell that onto their customers. So there's a lot of beyond price that we offer that and I think all of our customers respect that. Of course that’s always going to be challenged and discussions we are going to have around that. But I think again consistent with this year, we heard that from every single one of our customers, but we are going to make sure we're providing that value and that's a challenge to our team, is how do we continue to push that value equation up, so we can keep a premium to the market.
Daniel Rohr: Excellent. And then with the incremental 50K or so of commodity grade, figured I'd ask how prices for commodity grade are shaping up I guess relative to where they were in 4Q.
Paul G. Boynton: Yes, I’d have to go back out and look at it. Bottom line is, it's not too much different either way. It's not terribly attractive, the commodities are kind of sitting down there. And we’ll keep you posted as they move Dan, but right now I don’t have anything to report on and again there are some published documents out there on this. So we will give you some better guidance in the coming time frame, but overall, not a lot of movement up or down.
Daniel Rohr: Thanks again for your helpful comments, Paul.
Paul G. Boynton: Thank you.
Operator: Last question Paul Quinn, RBC Capital Markets. Your line is open.
Paul C. Quinn: Yes, thanks. Thanks for letting me ask another one. Not to beat you to death here. Just wondering if you've got an update on global demand. I mean, I think the last time you gave an update, acetates were running 0% to 1% up and ether 3% to 5%, and others around 3%, and that sort of gave an overall increase on a yearly basis somewhere in the 35,000 to 50,000 tons. Have you got an update on that? Have you seen a slowdown, you know where are we at?
Paul G. Boynton: Paul I tried to give some color on each of the different areas filtration, casings, tire cord, we said you know there are some modest growth there, in the ethers area we are seeing some mixed demand, we talked about that some ether sub-segments are actually fairly robust, I think 3% to 5% and above, but other like micro crystalline cellulose which we kind of put in that ethers areas is temporarily soft, as you noted acetate kind of that zero to 1% kind of fundamental consumer demand. So all that combined puts us in there slightly below that 3%, I think the latest industry analyst one of them out there put it at 2.9% which is a drop from where it was before. I think they maybe headed to 3.4% or somewhere there. So its definitely kind of drop down here a little bit and I think given some of the factors like particularly maybe in some of the ethers market that’s kind of pulled it down and the acetate market. Again, we’ll keep you posted on that but I think in that 2.5% to 3% its probably a comfortable ongoing number and I think outside of 2015 with this destocking.
Paul C. Quinn: Okay. That's helpful. You mentioned at the beginning of the call a look back. Thanks again.
Frank A. Ruperto: Sure. End of Q&A
Paul G. Boynton: Thanks Paul. Well if there are no more questions at this time, I would like to thank you for joining us today. Just a couple of comments and first clearly the market remains challenging, but our goal is to maximize profitability and cash through first cost reduction and continuous improvement initiatives. Second, through asset optimization, let's get more out of what we have and then third, protecting and growing our market position by leveraging our unique attributes. There is no question in my mind that this company will remain the market leader in the near-term and the decided winner when the markets come back. We believe that there is significant value in our shares for those interested in the long-term investment. Our churn valuation is well below the replacement cost of our assets and the earnings capacity of our company has been shown to be far higher than the near-term results on which we're being valued today. We have a mandate as an independent company to deliver on this compelling value creation platform. We look forward to updating you on our progress in a timely manner as we move forward and I thank you for your time this morning.
Beth Johnson: This is Beth Johnson; I would like to thank everyone for joining us. Please contact me with any follow-up questions. Thanks again.
Operator: Okay. Thank you. That does conclude the call then for today. You may disconnect your phone lines at this time.